Operator: Good morning, everyone and welcome to the Docebo's Inc. First Quarter 2022, Earnings Call. All participants are currently in a listen-only mode. Following the presentation, we will conduct a question-and-answer session for analysts. Instructions will be provided at that time for research analysts to ask questions. And now I return the conference call over to Docebo's Vice President of Investor Relations, Mr. Mike McCarthy, please go ahead Mike.
Mike McCarthy: Thank you, Operator, before we begin Docebo would like to remind listeners that certain information discussed today, maybe forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties, and assumptions that could cause actual results to differ materially from those projected in the forward-looking statements. For more information on the risks, uncertainties, and assumptions relating to forward-looking statements. Please refer to Docebo's public filings, which are available on SEDAR and EDGAR during the call, we will reference certain non-IFRS financial measures.  Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional financial information regarding our non IFRS financial measures, including reconciliations to the nearest IFRS measures. Please note that unless otherwise stated, all references to any financial figures are in US dollars. Now, I'd like to turn the call over to Docebo's CEO, Claudio Erba.
Claudio Erba: Sorry everybody. And thank you for joining us for our first-quarter main call. With me today is Alessio Artuffo our President and CRO and Sukaran Mehta our CFO. We are extremely pleased to start another strong quarter this morning. The reason why we continue streaming demand for our products and services across all market segments. We are particularly excited about the accelerating momentum in the propriety segment that is enabling Docebo to leave the charging the fast-growing market, characterized by settler and macro team [Indiscernible] and excel in business from the main does allowing for rapid growth scale.  Their growth continued to benefit from their availability of our pre suite of products and momentum in the enterprise segment. We saw when distributor, the representation across industry verticals, and continue to see more than 60% of our customer using our platform to enable external training and the hybrid training use cases. These use cases are strategically important to the table and they reflect our customer are using our solution to solve for mission critical leveraging requirements. These add to create more intimated stickier relationships that leads to increase the ACV and drives a higher lifetime value to our customer relationship. And consistent with prior quarter, almost half of our net ARR Nishan came from customer with ACV over $100,000.  It is also worth noting that we have seen an 83% year-over-year increase in the number of capital that generating ARR of more than $100,000. Finally, profitability continued to improve as we stay, we remain a little adjust to turn the Junker EBITDA positive as we exit the year. As a number we are maintaining capital efficiency and growth at the right cost, remaining our DNA. Sukaran, who will discuss our financial performance in more detail momentarily. But let's take a moment to discuss why we are so excited about what the future hold for our operating in the micro environment that characterize as one of sustained demand for the enterprise. Organization of main challenging inflation, dialing competition and skill gaps. All while operating in the change of environment, we're engaging with employees and customer and partner in hybrid work environment, you've the new normal.  As a result, they are focus is on investing in technologies like Docebo to drive critical business outcome, whether it's improving the efficiency in execution of daily workforce, or strengthening the customer and partner relationships. We see this trend cutting across industry vertical and geography. It is becoming clear that learning and training are [Indiscernible] investments. The horizontal nature of Docebo platform support the diversely of [Indiscernible]. It eliminate the analytic customer service using while supporting multiple revenue management system across multiple department and [Indiscernible] [Indiscernible] learning models where the single element set of as a multi department system with multiple owners. The adoption of learning technologies accelerating in these [Indiscernible] of expansion, we believe we can grow from the 100 million [Indiscernible] company today to be billion dollar company of the future. Now, speaking about few multiple capital in this quarter. We signed the new customer agreement, we breached on America, a leader in retirement sustainable mobility solution, and install selected the table of the let me managing partner for employees and external channel partner training for it to retail business to offering. We give in terms, analyses, learning experience to more than 20,000 retail employees. We continue to see retail business replay external training as a key pillar of their customer growth. And then engagement strategy. And now they're new logo captivated, we like to go out for you this morning. Using globally getting workflow automation software, specializing among our deficit in solution across multiple customer employee experience.  They to the table in the full disabled Learning Suite that due to the need for a superior end-user experience and the integrated capability. To come next to other businesses up driver software deployed across the ecosystem. Customer expansions were also strong contributors to the quarter, and we are seeing continued traction in our lane than expense strategy. We believe that our goal to transform customer into raving fans will become critical to our long-term growth strategy. In catering point, we brought that up our partnership, we are the leading North American business luxury retailer, just 6 months after the initial agreement.  New customer expanded their use of our [Indiscernible] into their entire retail group for on-boarding and up-scaling of their store associates towards TAIROLEx mobile for solution. And grew this subscription value by 127%. [Indiscernible] to contribution from [Indiscernible] and last year, we have happy to see continuous progression in attach rate. In particular, the triple shape connect and connect and content have exceeded our expectations out of the gates. For example, digital connect is being deployed by one of the largest crypto currency exchange in the United States that we also signed it this quarter. Also in [Indiscernible] will enable automation of the year learning processes that touch other applications in data software stack while getting learning data one needs to be. Full scale.  Another example is [Indiscernible] with using the [Indiscernible] to create content quickly particularly, consistently and [Indiscernible] time-to-value from the year the which [Indiscernible] they are achieving their by [Indiscernible] intelligence to create interactive learning experiences which facilitate software learning without burdening your content creation team. Alongside our product investments is the investment we're making in our people. This past quarter, we have made this significant progress in expanding our senior and middle-level leadership organizations. [Indiscernible] come to us from industry in customer alike and [Indiscernible] of total leadership that is essential in executing our mission [Indiscernible].  This is also great depth [Indiscernible] to our rising profile and reputation as an innovator [Indiscernible]. One of those new additions to redeem is Neenah's in Moscow. Well joined our -- as our Chief Sales Officer. Meenah is a larger-scale builder. She has an impressive track record with companies like SAP, Nike, and [Indiscernible], and will be responsible in scaling up our direct and indirect trade organization to meet the growth objectives ahead of us. Also, joining our team, Nicole Williams, as we be over revenue strategy and operations. Nicole brings to the table many year of experience in our industry at products on demand and will lead our revenue strategy ennoblement and operation functions.  We are happy to record Docebo is finalizing our very first ready first year-to-year report, which will be published before our shareholder meeting in June. I'm proud to say that every Docebian take our responsibility as conference citizen to help in everything we say and do. We -- the impact that learning has and other organization is not to make economic. We are proud to our platform utilized by many of our customer to advance learning objective that achieved ESG later yields. We look forward to shedding some more of new sample with you when we publish this report. I will now pass the call to Sukaran to speak to the financial.
Sukaran Mehta: Back you, Claudio. And good morning, everyone. For those interested, a detailed breakdown of our financial results for the three months ended March 31st, 2022 can be find in our press release, MD&A and financial statements, which are now available on our website and are also filed on SEDAR and EDGAR. The slide deck accompanying this earnings call was made available on our Investor Relations website this morning. Q1 was a great demonstration of the continued momentum in our business, after a record, Q4. This is a great time to be innovate and innovative and disruptive force in the learning industry. Enterprises are investing in learning technologies to help them create favorable business outcomes across all their organization. These customers are at the core of the long-term secular growth opportunity, that we are well-positioned to capitalize on.  Regardless of the economic environment. Given the tremendous value we provide to our customers and our current market penetration, we continue to be excited about our future. Now to the result. Despite FX headwinds, total revenue for the first quarter grew to 32.1 million, an increase of 47% from the prior year. Subscription revenues were 29.1 million, representing 91% of total revenue for the quarter. Professional services in the first quarter, was 2.9 million, an increase of 49% from the prior period. We added 11.6 million in net new ARR during the first quarter to bring our total ARR to $129.3 million, an increase of 55% year-over-year. We are especially pleased with this performance as Q1 is coming off our seasonally strongest quarter.  New, and cross sell logos with ARR greater than a $100,000 represented approximately 50% of the net new ARR underscoring continued momentum with larger commercial, and enterprise customers and we take confidence in the fact that our pipeline continues to be strong. Total customers at the end of the first quarter of 2022, are 2947. Our company-wide average contract value or ACV, increased to approximately 44,000, up 23% from the 36,000 at the end of the first quarter of 2021. ACV for new customers in the quarter was approximately $60,000 driven by our continued shift in mix to enterprise sized deals and adding incremental products. And as we add more enterprise customers, the quarterly of our ARR base continues to strengthen. We believe the lifetime value of these customers reflects positively on the growth of our business, including expansion opportunities within our current customer base.  Gross profit margin for the fourth quarter was 80% of revenue, which compares to 80% for the fourth quarter and 82% for the prior year period. We expect to maintain gross margins in the low 80% range over time as we continue to invest in best-in-class enterprise support, customer success and implementation services. Total operating expenses for the first quarter increased to $32.4 million compared to $23.5 million for the prior year period. Included in the $32.4 million of operating expenses is a foreign exchange loss of $3.4 million that relates primarily to the cash on our balance sheet and is therefore for the most part unrealized. Operating costs, excluding this loss, were $29 million slightly higher than the $26.6 million in operating costs reported on a comparable basis in the fourth quarter of 2021.  A full summary of operating expense lines are presented in our Investor Day. GSA have continued to decline as a percentage of revenue to 23% for the first quarter, compared to 24.4% sequentially. This is an area where we continue to deliver operating leverage, and as previously noted, expect to see on-wing leverage as we scale. Sales and Marketing expense increased slightly as a percentage of revenue to 42.9% from 42.4% for the fourth quarter. We expect our unit economics to remain efficient as we continue to invest in our sales engine. This includes hiring seniority, quota-carrying executives, as well as adding depth in our account management team to drive expansion and higher net dollar retention.  We also added a number of sales and marketing personnel as part of our Skillslive acquisition that was will future growth in the APAC region. R&D investments in the first quarter was $6.2 million or 19.3% of revenue, compared to 18.5% in the fourth quarter. In the fourth quarter of 2021, we recognize a one-time year end benefit from R&D tax credits of approximately $800K. Adjusted EBITDA came in at a loss of $1.3 million for the first quarter of 2021 compared to loss of $2.5 million in the prior year period. We reported a net loss of $7 million for the first quarter of 2022, compared to $5.6 million net loss for the prior year period. A strong capital structure is a function of our very healthy balance sheet, which shows net cash and cash equivalents of $212 million at the end of the quarter.  Free cash flow was negative 2.3 million in the first quarter. In closing, I want to emphasize that we believe we are extremely well-positioned to capitalize on what Claudio called a macro trend that is creating a prolonged demand environment for Docebo. We will continue to invest responsively in a way that maximizes high-quality growth, while at the same time ensuring our ability to maintain our best-in-class unit economics, and sales efficiency. This will be matched with continued operating leverage that will naturally lead us to turn EBITDA and free cash flow positive, as we exited the year. That concludes my prepared remarks, and I'd like to turn it over to the Operator now to take some questions from the analysts.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Josh Baer with Morgan Stanley. Please go ahead.
Joshua Baer: And congrats on a nice quarter. Wanted to start high level, you mentioned the ability to reach $1 billion in our thinking bigger picture and longer-term. Just wanted to get some context really for at a high level, what it would take to get there when thinking about products, segments and geographies, customers. Just any more color on what it would take to get to 1 billion obviously, over time.
Claudio Erba: Yeah. Josh first welcome into digital world I know this is your first earnings call. This is Claudio. We go continue to execute organically. So I would focus my answer only from the organic perspective. So, not considering any transformative event. The industry is hyper fragmented, and the total addressable market, is be reconsidered not only from the internal training, but also the external training is now part of our total addressable market. So in terms of the size of the market, we are in really unlimited big market. What are the actions we need to take and we are taking and we can take to get to $1 billion. First of all, user product.  Continue to innovate both the core products, which are the LMSs and those new products that we have built, but also imagining that training is not the only delivery of multimedia content, but coaching is still part of the informal training concept; like informal content sharing, like we have addressing. So there are way more possibility, way more channels to train the people that can be transformed into products into software. Then there are other verticals where we really are not there, and then thinking about the government, I mean government sector, either usually a legacy industry, that needs to be disrupted by innovation, and we think that we are innovative enough to give a food for thought to big government entities and provide them some fresh new way to train their people.  Geographic expansion, I mean, the more you go, east, the more, the world is it getting ready to approach sophisticated and more than a way to train their people. We are still focus to Europe and we still -- we're soul and origins European, but most of our revenues are coming from North America. So if you put together all these elements, which are all organic, new products, new verticals, and new geographies. We do have a lot of the Basware to increase the size, and getting your there won't be the on a week. If you're think the total addressable market, which is way bigger to build $1 billion one uses and minor fraction of the total market size.
Joshua Baer: Great, thanks, Claudio. Really helpful. And then follow up sort of unrelated, but more near-term focus. Wanted to just ask if we should expect changes to the go-to-market following some of the recent leadership additions on the sales side. Thank you.
Claudio Erba: So first of all, we, me Ale [ph] and the others, I met Ale only ten years ago and I consider Ale founder of the company. And we are learners but you really need the closer to me Ale for a broader scope because with very often Ale's only recognized as the revenue leader. But for me, he has capabilities like looking at part of the organization, adding product ideas, and I want him oversee the revenue team because [Indiscernible] will cover only sales, will not cover marketing, will not cover professional services, and all of them still reported to Ale as a Chief Revenue Officer. But I want to leverage my friend, colleague, and partner, also on other duties to do which I need help. So I want to leverage him, not only as the revenue leader, but also as the President now, in the organization he is considered Revenue, and President. But for me is more President than Revenue. Ale do you want to add something on that?
Alessio Artuffo: Hey, Josh. Thank you for asking that. Look, as we continue to grow and we continue to prepare ourselves the next journey of the next, probably 3 years to 5 years, the road to a billion dollar is made of all the things that Claudio spoke to before which is execution. Taking better products, better tax rates, better Geo-expansion, all of that is execution. But then you got to lay on top of that organizational innovation and organizational scale. And when we think about the next 5 years, what we really believe is the human capital is critical.  So people like Nina, people like Nicole that led them scale organization, that know what it takes to go from 100 to 500, 500 to billion will be invaluable assets to get there, look of all the -- I would say here are the improving that we may have as management, we remain humble. We got $100 million in revenue not having been done before. We're very clear on what it takes to get to a billion and we know that some of our parts is stronger than each and every one of us. And so if we surround ourselves with really great people, we're going to get there better and faster.
Joshua Baer: Thank you.
Operator: Your next question comes from Suthan Sukumar with Stifel. Please go ahead.
Suthan Sukumar: Good morning, gents, and congrats on another strong print this quarter. I wanted to touch on the -- the stronger level of net new AR you guys added this quarter. [Indiscernible] look to be quite stronger than where you posted last year in what looks to be a seasonally slower period. Curious what you guys seeing in the demand environment that keeps you really excited on the outlook with respect to kind of buyer profile behavior and spending trends. And should we be expecting seasonal strength to kind of pick up over the year? Similar to prior years.
Claudio Erba: So, Suthan I want to look in terms of spending and macroeconomic environment and then Alessio will jump on detailing the revenue and the ARI. So in terms of outlook, we think that companies are now worried on a couple of points. One is spending recession downturn and others. But probably there is another factor that is more worries for them which is talent and people. And not only from the inflectionally raise of salary, but because of the shortage of talent. And so they need to adopt and to increase the adoption of an online learning system like the [Indiscernible] is the basic strategy to mitigate the talent, great resignation, remote to work trend which is continuing to happen despite the macroeconomic downturn.  But don't forget that the [Indiscernible] is also an expanded training tool which historically have been used to establish deeper relationships with their customer and partner base. And then you have to look, these are through also as a leprosy, but as strategy to reduce your, to stay closer to the customer to better work with the partner and stuff like that. We see the table web positioned and then, I have been in the company in 2008-2012. In the many economic downturn. And I have always seen company investing on people during these periods? Ale do you want to add something about the revenue you have?
Alessio Artuffo: Yeah. Look Suthan, you've said it right. We -- this is a -- as a recap, we printed 11116. Last year if I -- unless I'm mistaken, we printed same time period 94. And for that same time period, we recorded and shared that that 94 included a 7 figure contract with a large chain -- food restaurant chain provider. So we are beyond pleased with the result. We're thrilled about it. We think it's an exceptional outcome. And when I think about the why it happened and why we expect for it to continue and to actually get better, I'll just refer to what we shared on customer use cases like Bridgestone, but also Smoothie King.  Those same customers, had we signed those even a year ago, we wouldn't have been able to satisfy their gains for broader scope solution. These organizations that are going to be leveraging Connect, they're going to be leveraging flow, and they’re going to be leveraging capabilities that extend well beyond the Learning LMS as you guys used to know as off. Now are tickets are going up. Quarter-over-quarter, we see those charts and the constitution of our net new deals are going up and our expansion capability is going up. All in all, we're not only pleased that we're ecstatic about the growth rate, we believe it's going to continue, and the way it's happening, it's according to plan. Our hypothesis is validated by the results.
Suthan Sukumar: Thanks Alessio. As a follow-up, could you provide an update on some of the demand side on terms of what you're seeing in the indirect channel, especially with the OEM partners? Curious to see if there has been any change in the trends that you've been seeing in prior quarters?
Alessio Artuffo: So, we first of all, have continued to grow year-over-year our OEM book of business in a percentage that makes us extremely happy. It means that our partners not only continue to be satisfied with our existing services, but they are adding on capabilities. In fact, it was 70% growth year-over-year for that book of business. Now, on the demand side, we're extremely focused on partnering with the right organization that will yield the material results in the future. These relationships are very deep in the organization and we're very confident and excited in our pipeline, and are executing around that. Now, just as a reminder, when we think about having people like Nina from Moscow and beyond, we're thinking about that also in the context of their expertise, their background, their capabilities, their network in bringing to the table, not only names, but the capability of executing and designing the organization properly. So as a recap, were staffing ourselves to execute in that world better and better. We like the demand and our existing partners are performing great.
Suthan Sukumar: Great. Thank you for taking my questions at GenCell, pass the line.
Claudio Erba: Thank you. Suthan.
Operator: Your next question comes from Robert Young with Canaccord Genuity. Please go ahead.
Robert Young: Hi. Good morning, everyone. Maybe first question for me. Just too mechanical when I was hoping you could give some insight into the divergence in the growth rate of air or/and revenue. It's a little different than I've seen in the past quarters. Is that just the timing of enterprise skewing towards the end of the quarter, or is there one dynamic there? So when you can explain, maybe that and how you expect things to develop over the near-term point.
Sukaran Mehta: Morning, Rob. Sukaran here. I'll take that one on. So if you think about -- I can't give you a simplified into two or three things that will have some of this divergence. Firstly, as we move up the chain into the enterprise segment of the market, you're going to see customers that will negotiate the contracts. The customers are becoming smarter. And enterprise customers’ procurement teams tend to more negotiate their contracts towards the end of the quarter. So some of that benefit that you would see, historically you would have been more -- that mix would have been coming in at the start of the quarter. So some of that revenue doesn't come through until the following quarter per se. And the other thing I would say, as you've matured into selling at the enterprise segment of the market -- and this is a bit of a [Indiscernible] thing.  For your benefit I'll spend two minutes on it. Is that -- not 2 minutes, 20 seconds on it -- is that when you do enterprise segment deals, you also have the concept of ramp deals. So an example here would be a QSR chain that signs up for three year deal. They're locked in for the three years, but it's a ramp deal in terms of monthly active users because they have to build that in year one. And then scale up to year two in then scale up beyond that in year three. And they're locked in for each of those tiers for three years. So the ARR in that context, we take it as a straight average, whereas the revenue recognition is on its first year 10,000, second year 20,000, third year 30,000. It's 10,000 in year one revenue, and 20,000 thousand year two, and 30,000 year three. So that's where you see a bit of a differentiation on the ARR versus REV REC. But I think if you think about it in the next few quarters, we will pretty much get to slightly closer to ARR versus REV REC conversion ratio.
Robert Young: That's very helpful. I've got to more if you'll allow it, but I was hoping that you could give us some insight into your thoughts on, the EdCast acquisition by cornerstone. I know you add a relationship that was relatively new in the press release, you highlighted that you had one customer that shows don't Chaivo for LMS, LXP, LRS functions, and so, I'm just curious how that EdCast acquisition changes your relationship there. Maybe if there is any change in the market that'll be helpful.
Alessio Artuffo: Sure. Rob, thank you. First off, we congratulate our friends at EdgeCast for their new journey with the cornerstone demand. With regards to us, I would say one more, the immaterial. Why? 1. The nature of our relationship with such that again, it doesn't make a difference to our business. 2. The capabilities that we have in our platform, we believe are second no one in the space. Second to no one, I repeat. And when it comes to what others do, we -- we're very focused on our road-map. We're very focused on our plans. We're very focused on our win rates. And when we look at our win rates in our hands for the future, we're excited for what I have. Again, very happy for our EdgeCast friends but it's not something that we --that makes any change for us.
Claudio Erba: Yes. And I will that from a product endpoint, one consideration. I mean that usually LMS vendor are not looking for and for LXP bay indoors. Because usually the new next generation from tails of the LMS, is we're already for I'm provide most of the LXP capabilities. Reverse LXP don't have strong became, to manage the complexity of the admin of their capital matter. And then as they are looking to partner we the solidly the LMS, because they need that became that allows to organize group users, power users, skills mapping or artificial intelligence that create skill mapping inside delivering object. So you have to imagine that Docebo is so powerful it became which cover probably 80% of our development effort that the LXP are looking for these kinds of capabilities. Because basic LMS cannot satisfy that their EBITDA customer, which is a Fortune 2000 company.
Robert Young: Okay. Thank you very much for that. And this last quick one for Sukaran. I noted that you expect EBITDA to go positive as the year consistent with last quarter, but given wage inflation and some of the cost inflation, are you building in some consideration for that? And then when you say exit year, do you mean Q4 will be EBITDA positive or is it something you're just thinking about in Q1? And I'll pass it on.
Sukaran Mehta: Yes. Rob. We have considered wage inflation, et cetera, as we thought about the structure this year. And maybe I will simplify the [Indiscernible] out. We are indicating Q4 we will exit at EBITDA positive, yes. And it will happen naturally as I said. That's the point I want to reiterate here is that we are -- the business was always -- we operate in a very efficient manner. You know that and we've always manage our growth in maintaining those unit economics. And this is a natural transition that's happening and -- and I'm sure if you do some of your Math in your modeling, you'll get there yourselves too.
Robert Young: Okay. Thank you very much.
Sukaran Mehta: Thank you.
Operator: Your next question comes from Stephanie Price with CIBC. Please go ahead.
Stephanie Price: Hi, good morning. I have a few questions on the sales side. The first is as you move to the enterprise, just curious if you're seeing a difference in how customers are coming onto the platform. I think [Indiscernible] once were coming in through the website. Just wondering if that's still the case or if the sales presence is changing as you add these larger clients.
Alessio Artuffo: Stephanie, just to make sure that I fully captured your question it’s about the makeup of our customers as we move more and more in the enterprise phase [Indiscernible] Lead generation. Okay. Sorry, it didn't -- the line cut through the question. From a lead gen standpoint to our strategy continues to be an execution that is multi-play across our inbound marketing, and outbound marketing. Now, for sure, generating demand on the upper end of the market, the 41,000 requires a certain level of tactics, it will a little bit more sophisticated as opposed to the more natural inbound marketing flow. The majority with inbound marketing flow, this is not a surprising and a software industry, belongs more to the [Indiscernible] thousand employees company.  However, some of the biggest brands that over the past 3 quarters we have mentioned, at times have actually originated through inbound. So that equation where large enterprise equals outbound, our reach cost long funnel is a false myth. Having said that, two areas we're investing on and getting better and better and I think we will execute even more in the future. One is, like we said many times, specializing with enterprise sellers and enterprise SDRs. No doubt about it. Those deals or the friends or is different buyer personas by committees larger -- it requires a different skill set. For sure. The second thing is that we spend our most add up account-based marketing resources on those accounts.  What that means is we implement strategies to look and feel and show out then and have landing pages. Speak of. They're very Paler. Then to that customer. And we do that in and rather sophisticated away without sharing too much of the magic sauce because I can expect some competitors wanted to still the art of the possible here, but I would say without going to put that intent data leverage used in the right time and the right way of the customer journey is very powerful. And when you combine ABM with its strong branding messaging with good product marketing collateral, with good alignment between field and BDR. That's the magic so also by the way, we're not perfect, but we believe that we're very happy with what we're seeing. And just doubling and doubling on enterprise because it's giving us the lot of the confidence for the future and great results, right? Like the Bridgestone of the world that by the entire suite of our products for us, these is just we're very proud of it, very proud.
Operator: Your next question comes from Martin Toner with ATB Capital Markets. Please go ahead.
Martin Toner: Good morning, folks and congrats on another strong quarter. Gross margin declined a little bit year-over-year. Can you guys talk to the driver there?
Sukaran Mehta: Yeah Martin, the way I would think about gross margins is just sequentially as we talked about it last year was -- I believe that was 82% or so last year, but we've continued to talk about the fact that I think we were pretty much flat sequentially to the quarter. I think we'll see some operating leverage in the gross margin, some leverage in the gross margins side as we move up a bit, but I'm pretty happy with how I guided as we think about going forward. We are happy with our gross margins being in the low 80%, and they're getting there, and they'll get there in the next few quarters. Its investments we're making deliberately as we move up the chain in the enterprise segment to make sure that we implement our customers’ right. We are supporting them through that journey so the happy customers based all around happy expansion and benefits us from a product suite perspective.
Martin Toner: Fantastic, thanks. You've referred to winning whales versus mini whales, with the mini ones being in the greater than a 100,000 level. Can you talk to how those types of customers contributed to AR in the quarter?
Sukaran Mehta: I can speak to some number then let -- if you want any more favor Alec can jump in, but pretty similar story, actually slightly better. So in the quarter, new logo ATB, new and cross sell logo ATB was slightly higher at $60,000. And then if you think about the composition of that, half of that net ARR add in the quarter was from logos above $100 thousand, but under a million dollars, no seven figure deals again, so consistency is the theme that we've spoken about in the past quarters. There are no big homeruns here, but I do want to highlight one thing that people should understand. The story of that customer doesn't stop at the outset, whilst you guys will factor that in or we look at the fact that we've landed a customer in that $100 to $1 million sweet spot, that story is just the start of the journey and we continue to see if you look at one of the luxury retail chains that we would have named six months or so ago, they came back to us within six months and they wanted our platform to be implemented to their sister chain. And that's the kind of sweet spot we sit in, and that's why ACV doesn't stop at the outset.
Martin Toner: Great, thank you very much. And finally, anything you can share on the progress that you are making with some of your new products and selling a product suite?
Claudio Erba: Yes. Product -- I mean we are learning how to sell multiple products across our customer base and -- with the new logos. There are some products we are extremely excited and are already proving progression in the attachment rate. And I can name shape, connect, and content, other are probably beyond this stage of a maturity and adoption. But we are continuously investing and learning on how to leverage those learning analytics and learning gen factor. Connect, if I had to name, probably the one that is exciting me the most, either providing a gateway to integrate all the enterprise software stack. Good share inside the enterprise software, in fact, providing two things, stickiness because the more you are integrated in the price of the stack, the more it's difficult to remove, and so deeply nicer than integrated software from a company. And second feeding the company with the visual data, I think, single sign-on skills and many other data that support the platform to perform better because I mean, the more we give data to our AI, the more our AI can automate more processes inside the LMS itself.
Martin Toner: Great. Thank you very much and congrats on the results and congrats on adding the team members. I'll pass it on.
Claudio Erba: Thank you.
Sukaran Mehta: Thank you Martin.
Operator: Your next question comes from Richard Tse with National Bank Financial. Please go ahead.
Q – Unidentified Analyst: Good morning. This is Mahir calling in for Richard. So I guess first off, I just wanted to ask you, moving through the pandemic, as we're getting towards a tailwind. Are you seeing more of your wins coming from displacements versus light space? If you guys could just talk about any trends that you're seeing there.
Alessio Artuffo: Sure. It's a fairly simple distribution. We see more than 80% displacements in the mid-market and enterprise, would say 50-50 displacement in net new field in the small business segment. Enterprise space we track, it's a little bit easier to execute because the amount of players in that space is smaller, and so we get a lot more laser-focused in or competitive strategies and our competitive capabilities and differentiation elements. No doubt that our commercial space sort or so-called rest and be space it's more crowded, there are more players, and I would say we approach that market with the intent to of always landing the type of organizations of customers that are the right fit for us, because you know what?  There are organizations for example, that have a small employee base, think about associations. But their business model yields really large amounts of end-users and we certainly do really well there. Whereas as opposed to an organization of about 100 employees that is looking for the first time LMS and they're very cost-conscious. At that stage we may not be the number one choice. And we don't actually aim to be, we're positioned to satisfy better high-growth companies. And again, more focused on the mid-market and enterprise, in large enterprise space. That's at a high level.
Mahir: Okay, thanks. And for my follow-up, I just wanted to ask on -- and touches on the goal you guys have for reaching the $1 billion AR mark. But with valuations coming down across the tech space, how are you guys thinking about your build versus buy strategy. Do you see more opportunity to just acquire some smaller companies and kind of kick-start some of your newer product modules that way?
Claudio Erba: So. First of all, the more the multiple drop, the more you find me interested on go outside and hunting. Let's say that it looks today the multiples are dropped in the public market. This is not yet happen in the private market where there's smaller targets are. That say, we are looking carefully both public and private market because now probably we can find great deals. So there is a caveat here. I mean, a great deal doesn't not only have great low multiples. But need also to have great products. Great team and great economics. The [Indiscernible] always had the culture of capital efficiency. And so you will not probably find the [Indiscernible] buying a company which is not capital efficient. So we need to find the perfect match between products [Indiscernible], team [Indiscernible] and cautious on economic fundamentals. That say, these situation are incredibly exciting because when the world is falling apart, only the braves will win.
Q – Unidentified Analyst: Got it, thanks so much for answering my questions. I'll pass the line.
Operator: [Operator Instructions]. Your next question comes from Daniel Chan with TB, please go ahead.
Daniel Chan: Hi, good morning. Sukaran I just wanted a clarification on a response to give to Rob's question earlier, is all the ARR from some of these enterprise deals in the current metrics. So you're saying that the enterprise deals could take three-years before you get to full recognition, as you said, you ramp up over that time, but as the final ARR in the current metric?
Sukaran Mehta: Yes. So let me just give you example to make sure everyone understands it. So, a ramp up deal is what I was talking about, is where a customer with sign for an example, will be $10,000 monthly active users in year 1, $20,000 monthly actives in year 2, and $30,000 monthly active users in year 3, we from an ARR reporting perspective. That is the minimum floor for each of the year the customer has been locked in for they cannot downgrade below that, and that's a minimum floor. So when we calculate the ARR, it's a straight average of that subscription TCV of that contract divided by three. But when you recognize revenue on it under IFRS team, you take the revenue for the first $10,000 was the active users in Year 1 and then subsequently Year 2, for the $20,000 and subsequently Year 3, $30,000. So you'll see a differentiation in terms of ARR versus revenue recognition of that makes sense then.
Q – Daniel Chan: Yes, that's very helpful. Thank you for that. Switching gears a bit, there are reports that SAP maybe selling Litmos Just wondering whether you have a view on whether that changes the competitive dynamics if it's so to say, private equity firm?
Alessio Artuffo: On my side, the from the market standpoint, the lead Cloud any consideration from an M&A standpoint. First of all, we want to say that we remember when Litmos was a New Zealand company well before being sold to Callidus, and then CallidusCloud wrapped it in a deal with SAP. So we remember the entire journey, and we remember that up until say year 2017, 2018, they were a serious competitor, particularly in SMB and in market space. I don't think it's a secret for any of us that for the past years we have not had a chance to really compete much according to our data. And therefore, we don't have a strong opinion about that. With that said, we understand that the process is undergoing and I will be proud to make further comments.
Claudio Erba: I second Ale, I mean, we think that leap either mostly focuses on there's more business, and sometime they do add and enterprise customers. Let's say that -- I'm always happy when a competitor is taken over by a private equity firm, because you know they are very be focusing for one or two years on re-organizing themselves, so from the competitive standpoint I'm very happy that a great competitor like -- great company like them, very efficient, will be the focus for a couple of years doing the private equity game. On the private equity, assuming that they are buying, they are acquired as by private equity.
Q – Daniel Chan: So what they go right? Like it's immaterial for us.
Claudio Erba: Yes.
Daniel Chan: Thank you.
Operator: Your next question comes from Christian Sgro with Eight Capital. Please go ahead.
Christian Sgro: Hi, good morning. You had mentioned previously that many geographies are behind North American in terms of their maturity was corporate LMS. So my question is, which geographies you'd call out as being most behind? And maybe how the company's position to your attack those regions in the next three to five years?
Claudio Erba: Well, actually, the philosophy is the more you go Easter the faster -- you find the first time adopters. Let's say Australia is another world because compared to Australia, probably 1999 Moodle was created, and so Australia is very friendly to e-learning as -- New Zealand as well. That said, my focus now is on creating solid foundation in Germany, in France because this is where we have offices. If I have just to make a theoretical speculation, during these geopolitical ship, I think that Middle-East will become the new frontier, the new bridge between East and West. And I do think that sooner or later we have to take a look there, but a lot today, guys, we do have a lot on our plate in Germany, UK. Middle-East is including these [Indiscernible] as well. So in UK and -- as company we usually don't want it to be distracted on many activities in parallel because I mean, the more you are distracted or the talk was that they will ask you we perform. So as -- 1 step at time.
Alessio Artuffo: Christina, like just the good segue to produce concept of focus on prioritization. No doubt in North America lead the chart with would say there is tremendous power and branding recommendation as well, right in and entering into territory where we learned over time is it's not only about our Inc. our Inc. field force and hiring folks, it's also about the breaking through the geographical brand perception and that all-in-all, regardless of value, you go about it, agents in our agency, the rag takes time. So I'd say even with our latest moving in APAC with our office in Melbourne, following the Skillslive acquisition, we understand the model out of that growth, the needs to go through, a market recognition and branding affirmation, that is the result work. And so you can't do that, I guess my point is you can't do that at the same time many places, we got build the franchise model where you're going execute according to formula, and the formula has to be repeatable. And that formula has the timeline and then we check against the timeline unless formula and will lock investments progressively that is the way we look at it.
Q –Christian Sgro: And grocery-outlet ended to say that, always never forget that North American grew at 70% last year. There's a lot of lot of momentum there still.
Alessio Artuffo: Yes.
Christian Sgro: Hi, good traction all over, Alessio you're getting at my follow-on here. Just curious on Skillslive, it sounds like that acquisition made a lot of sense. A couple of months now it sort of stood up a team in Australia overnight. So just wondering, I guess one, how that's all coming along, how the integration's coming along? And then maybe as a follow-on, if that's the type of acquisition you might be looking out for in the future?
Sukaran Mehta: Yes. So yes, yes, yes. Yes to -- for the future to enter new territories. It is a vehicle to enter territories that accelerate execution no doubt. There needs to be again, a fit, right? Of people, of timing, of geography, of market analysis for their territory and all of that, no doubt. Then with regards to Skillslive in itself, not only we stood up a group of capable folks that have a deep expertise in the industry that understand Docebo really well. They were already actively selling Docebo, the new team implement and support Docebo. Those things that can take anywhere between 12 to 18 months to master, and we were able to accomplish that pretty quickly.  With that said, we are already actively creating pipeline, we're live as we speak, or maybe it was yesterday, I can remember, in HR DAC Asia and we're collecting a good amount of leads and our team is just really excited about it. And we added also an industry leader that comes from competition to lead our field sales team in addition to the management that existed at Skillslive. We really wanted to build a stellar team, Mr. Warren joined us recently and he is the master in the APG region at scale teams there significantly, so we love it. We think it's going to be a great success and we're going to go head down and execute. Go Australia, go.
Christian Sgro: That's all, [Indiscernible] Thanks for taking my questions.
Sukaran Mehta: Yes. Thank you.
Operator: Mr. Erba, there are no further questions at this time. Please proceed.
Claudio Erba: Thank you, everyone to listening to have also today. Have a nice day, stay safe, and speak [Indiscernible], probably. Bye-bye.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.